Operator: Good morning, ladies and gentlemen, and welcome to the H2O Innovation's Q4 FY 2022 Conference Call. [Operator Instructions]. Also note that the call is being recorded Wednesday, September 28, 2022. And I would like to turn the conference over to Frederic Dugre and Marc Blanchet. Please go ahead.
Marc Blanchet: Thank you, and good morning, everyone. My name is Marc Blanchet, I'm CFO of H2O Innovation. This call will be held in English, but I'll just say a brief word in French to our French audience.I invite you to download a copy of today's presentation, which can be found on our website at h2oinnovation.com in the section Investors.  Frederic Dugre, President and CEO of H2O is joining me today for the call which duration is approximately 30 minutes. During this call, Fred will be giving an update on the business and present highlights of the fourth quarter and the financial year ended June 30, 2022. Please take a moment to read the forward-looking statement on Page 2 and the non-IFRS financial measurement on Page 3 of the presentation. I now hand over the call to Fred.
Frederic Dugre: All right. Well, thank you very much, Marc, and thank you to the analysts and the shoulders for joining the call today. What a year it has been for H2O Innovation. Our business is firing on all cylinders. The growth in the fiscal year 2022 stood at almost 28%, pushed by 3 acquisitions that we completed in the year, but most importantly, by the remarkable organic growth of 17.7% across all business lines. Despite the lasting pandemic, the multiple challenges related to the supply chain and the high inflation in material and labor, we have been able to increase our adjusted EBITDA by almost 24% to finish at $18 million, an addition of $3.5 million to the last year adjusted EBITDA. The multiple renewals, scope expansion and addition of new O&M projects, combined with the 15 new capital equipment projects secured by WTS Group, allowed us to increase our consolidated backlog to $163 million at the end of June 30, representing an almost 60% increase year-over-year. This growth did not happen by chance but by all the investments we have done in the previous years. The fuel of organic growth we continue to invest strategically in our teams, including the addition of resources to support growing sales of WTS in North America and Specialty Products internationally. We have notably added resources in Asia, South Pacific, Saudi Arabia, India and South America. In March 2022, we announced the expansion of our specialty chemical manufacturing facility in Cheshire, UK. The $1 million invested has enabled us to double the square footage of Cheshire UK facility in order to add the warehousing capacity and in-sourced the manufacturing of specialty cleaners, which should also enable us to better control the price, the quality and the lead time of the products made.  First batches of these specialty powdered membrane cleaners were made and shipped in the fourth quarter of fiscal year 2022. We firmly believe that the powdered products will continue to gain traction due to their reduced freight costs, thus, meaning the CO2 emission as well but also to their lower water footprint. In parallel, we upgraded our specialty chemical manufacturing facility in Vista, California, in order to gain efficiency in the lab, increase our warehouse area and revamp our office space. Both investments are done to support the growing demand that we have for our specialty chemicals, driven by our enlarged distribution network, the growing installed base of membrane plants around the world and by the request of ESG or eco-friendly solutions by the end users. We also purchased multiple rolling equipment to support the startup of new O&M projects and the scope expansion of other ones. All these investments should translate into growing sales and revenues in the coming quarters as well as profitability improvements over time.  In H2O Innovation, ESG is way more than a trend. It's a new way to conduct our business and to drive sales. We are literally observing an important shift from our customers to acquire products and solutions that will reduce their water footprint, energy consumption, CO2 emissions and other waste.  For all these reasons, many industries are shifting gears and moving towards net water positive best practices. Pushed by water scarcity and growing droughts in different geographies, water reuse is not an option anymore. It's part of a water strategy to address the growing demand, increasing water tariffs and regulations. For many countries, investing into additional desalination and water reuse capacity means also food security as 70% of the water produced is destinated to irrigation for agriculture. On top of that, to ensure any form of energy security, water is not an option, it is required.  At H2O Innovation, we walk the talk regarding ESG. We decided to establish a minimum wage of $15 an hour for our employees. We believe that such measures will reduce the turnover of personnel, attract the right candidates and thus improve our health and safety scoresheet. By doing so, we're doing what is good for our employees. We are doing by extension also what is right for our customers.  In other words, by becoming an employer of choice, we're also becoming a partner of choice for the municipalities, which will enhance our long-term relationships. For similar reasons, we also invested into our health and safety support functions by adding new resources to support the team in the field and into our five manufacturing facilities. In parallel, we also implemented Sospes, a software to monitor the health and safety performance, documents improvements and promote best practices. Moving now to Slide 5. We see the result of our constant effort to grow the business both organically and through acquisitions. On an LTM basis, our revenues have grown by $40 million, equivalent to 27.7%. On a five-year basis, our compound annual growth rate is 16.6%, a combination of acquisition and organic growth. But our focus is not only to grow the business, but also to focus on improving profitability and EBITDA.  In fiscal year 2022, the adjusted EBITDA increased by 23.6% or equivalent to $3.5 million. On a five-year basis, the evolution of our adjusted EBITDA was just remarkable and has been growing at 40 -- almost 45% on a CAGR basis. As you can see, growth is accelerating in all aspects of our business. We are expecting this trend to continue in the coming quarters as well.  Our business model works. We are capturing also business synergies between our different business lines, allowing us to improve our operational efficiencies, leverage our sales network and most importantly, retain our customers. Through these operational and sales synergies, we are promoting customer retention and repeat sales.  For these reasons, our recurrent sales, combining operation and maintenance, Specialty Products & Services, stood at almost 85%, in line with our objectives. The percentage of our current revenues will continue to fluctuate over time as it is directly related to the business mix of the company. Thus, the more or less revenue coming from WTS will certainly impact up or down the percentage of our recurring revenues. Let's review the business activity for each of our business sellers, starting with the operation and maintenance presented on Page 6. Among several achievements of our operation and maintenance group in the last year one required a bit of attention. Normally, we have been able to renewed our single largest operation and maintenance for the City of Gulfport in Mississippi, but we have been also able to expand the scope of work with the addition of solid waste collection and fleet management.  This contract add $55 million to our backlog for the next four years, and can be then extended for an additional 12 years over four extension of two years each. We have also successfully renewed five other projects in the state of Mississippi, Georgia, New York, New Mexico and in the province of Alberta as well. We are extremely proud to see that all the investments in scope of work expansion as we testify to the quality of the work provided to our clients in the last several years are paying off. In terms of organic growth, we won 3 new operation and maintenance contracts in fiscal year 2022.  These new contracts are in the state of Mississippi, Vermont and Rhode Island. These new operation and maintenance projects, combined with the renewal and scope expansion have pushed the O&M backlog to $126 million, representing an increase of $81 million year-over-year. This strong backlog gives us an excellent visibility in the revenue growth expected in the coming quarters and fiscal years.  Moving to Slide 7. We can't ignore the acquisition of JCO and EC or environmental products, 2 O&M companies in the state of New York. These strategic acquisitions completed in mid-December 2021 represent an important milestone for the O&M group and the company as a whole.  Let's recall that the acquisition of JCO and EC allowed us to position our O&M group in the state of New York, which is the fourth most populous state in the United States. These acquisitions are expanding significantly our footprint in the Northeast region with slightly more than 200 industrial and municipal customers all along the Hudson River.  It brings also the multiple -- it brings also multiple cross-selling opportunities with our WTS business pillar. In less than a year, we have been able to secure multiple sales synergies notably for SCADA and controlled upgrade to customers in the state of New York. Moreover, as per the press release that we announced last week, we secured a capital equipment project for a new water reuse facility for an aquaculture facility located in the state of New York. The existing system is currently operated by our O&M team located in the same state and most likely could also ended up into an extension of our existing O&M contract.  The treatment approach for this first project and the first of its kind within the agriculture industry. And this type of projects showcase the strategic synergies between the 2 business pillar, the WTS and the O&M and then gives us the opportunity to not only supply the capital equipment but also to bring potentially other technical services, specialty chemicals and other consumables in the future.  Moving to Page #8. Let's have a look at the highlights of our WTS business pillar. Our WTS business pillar had a very, very successful year with revenue growth of almost 40%, and EBAC increase of 26.5%. On top of delivering and commissioning many projects fueled -- fueling after service and service opportunities, the WTS team secured 15 new water and wastewater desalination and reuse projects.  These projects totaling $26.7 million of new bookings secured during the last fiscal year, pushed the backlog to $36.6 million at the end of June, representing an increase of 12.6% year-over-year. During the first quarter, our new fiscal year 2022 -- 2023, as per the press release announced last week, we secured 10 new projects. Four that are dedicated to municipal customers in 6 stores industrial projects. These recent bookings brings the total WTS backlog to $46 million. With such backlog, we are expecting revenue to continue growing in the coming fiscal year.  Moreover, our strategy to focus more on industrial applications and customers with more opportunities for after sales and consumable and services are paying off. Indeed, we're seeing an increasing number of industrial opportunities in the sales pipeline and backlog.  Our service portion has increased by almost 21%, adding more recurrent revenues by nature and adding up more long-term relationship with our customers. Our expertise and support to the biofuel and ethanol industry remain very strong as we have multiple projects in the backlog as we speak. We have also been the first company in North America to retrofit U.S. membrane modules to an existing ethanol facility in Iowa, which will allow us to -- and will allow the customer to increase its water production by almost 20% and reduce their energy consumption as well.  Lastly, we are literally happy to announce in December 2021, that the San Diego flagship water reuse project will finally resume its contraction. Through multiple negotiations with the customer, we have been able to increase the contract value from $8.8 million to $11.2 million due to price escalation and change orders. As you can see through the pictogram, our business activity for WTS pillar remain high, and our engineering and fabrication teams are extremely busy. We are then expecting the teams will remain busy also for the coming quarters which will drive also revenue growth in the coming years.  Let's look at Page 9 for the performance of our Specialty Products business pillar. Once again, the chart on the right-hand side says it all, 24% growth in revenues and 43% improvement on the EBAC for fiscal year 2022. Marc will cover these numbers in greater details later in the presentation.  I can tell you that our business is growing fast and demand for our green chemistry and eco-friendly solutions are gaining momentum. The expansion of our international sales team in South Pacific, Middle East, India and Latin America is also paying up in a big way. The expansion of our distribution network, counting more than 150 distributors internationally is also contributing to the growth and momentum that we have. The Maple Equipment division contribute as well to the growth push by the expansion of its distribution network, the launch of new products and also by the release of new quotas in the Quebec province for the producers.  Earlier in 2022, we announced the consolidation of our chemicals, consumables and components business under one commercial team. This will allow us to leverage the synergies between our sales team and our distribution network while maintaining the product branding to better support our distributors and customers around the world. We believe the business combination of PWT, Genesys and Piedmont will create value for the customers and allow us to make operational gain as well. It's worth to mention that we have been selected to provide the antiscalant to the largest desalination plant in the world, Taweelah which is located in UAE. This huge plant producing 909,000 cubic meter per day accounts for the equivalent of 1% of the overall desalination capacity.  It will, in the world and represent an important landmark for our industry. By using our green chemistry, the customer will eliminate the usage of phosphate and reduce the CO2 emission through our super concentrated formulation, allowing to reduce by 11x the volume required in the associated freight costs.  On its end, Piedmont launched also a new product, the PiPerLink. This new product reveal at the Equatex Amsterdam trade show is now getting more and more momentum. On top of developing new products, Piedmont had its busiest year with 1,100 customers orders shipped to 175 different customers into 45 different countries.  This represents a huge achievement. This represents an average of about 5 shipments every single working day, an incredible logistic puzzle for our team. Among these orders, there was also 20 large ones that were dedicated to large FRP filter housing and couplings. Lastly, due to the success of the -- of our Maple Farming Equipment business line, combined -- combining to the expected growth that we're seeing in the Maple industry, driven notably by the growing demand for the end product but also by the release of 7 million new taps in Quebec province in the coming 3 years we decided to expand our division with the acquisition of Leader Evaporator.  Leader is 130 years old Maple farming equipment manufacturing company base in Vermont. Announced on June 30, 2022, this acquisition will enable us to expand our manufacturing facility with also a new facility in Vermont. Our distribution network -- and this distribution network combined to ours will also add complementary products to our portfolio.  We are expecting Leader to give another boost to our Maple division. At Page 10, I want to illustrate how our different Specialty Products can enable the typical water desalination plant to reduce its emission, energy consumption and plastic waste. These ESG driving factors are now incorporated into our sales strategy, product development and corporate objectives. For example, let's look again at the largest desalination plant in the world, Taweelah and how our solutions are reducing the CO2 emission and carbon footprint. First, by using our green super-concentrated antiscalant the SpectraGuard Taweelah is reducing by 90% its emission compared to other conventional antiscalant.  This is the equivalent of 50 tons of CO2 by reducing their freight and storage by a factor of 11. Moreover, by using specialty chemicals in powder form and super concentrated formulation, the client is also reducing the usage of plastic containers representing another saving of 2,500 kilograms.  The team is currently working and testing new products, which could enable the end user like Taweelah to save a significant portion of energy. For example, by retrofitting some internal components to the filter housing, filter housing that we already delivered through Piedmont division a year ago, Taweelah could save the equivalent of 5,500 tons of CO2 every year. This represents about $500,000 per year in energy savings. In addition, our team has also developed a protocol to clean the cartridge filters inside the filter housing. By extending the life of the filters we could then considerably reduce the plastic waste associated to the replacement of these cartridge filters. Let's imagine a second. If Taweelah accounts for 1% of the overall installed desalination capacity in the world, imagine how our solutions could impact positively thousands of other water plants around the world.  Our teams work hard not only to improve the performance of the desalination and reuse process, but also to make them friendly to the environment, focusing on reducing CO2 emissions, minimizing waste, energy consumption and plastic material disposal.  I will now pass it on to Marc Blanchet, our CFO, who will review and discuss the financial performance of the company during the fourth quarter and the last fiscal year.
Marc Blanchet: Thank you, Fred, for this exhaustive update on the business over the last 12 months. Before I talk about the year, I'll go over the fourth quarter. You probably noticed, we like to talk about the year. We always say H2 as a business. We have to look at on an LTM basis.  So when year-end happens, we're pretty happy to go over our yearly results. But before we do that, I'll have a brief word on our Q4 results, Page 12. So the main highlights is growth. Fred talked about it. We're reporting revenues of $52 million compared to $35.2 million last year. It's an increase of 48%. These results were driven by 31% organic growth and 13% from acquisition of EC and JCO, which we acquired on December 15. The adjusted EBITDA also improved by 54% compared to last to Q4 last year, reaching $4.8 million compared to $3.1 million last year.  The percentage of SG&A over sales has decreased compared to last year. As we said last year, around Q3, Q4, we would start to reinvest into our SG&A to generate organic growth. And in the fourth quarter, you can see that it starts to give results.  As for the gross profit margin, it is still impacted by high inflation on materials, pressure on salaries. The company does have an action plan to mitigate cost pressure. It is more explained in the MD&A, and I'll talk a bit more into the following slide as well.  Finally, we want to highlight the important increase of our combined backlog. It's up by almost 60%, and it provides us good visibility on revenues in the upcoming quarter. So now let's look at it on a yearly basis. So Page 13. Despite the challenging environment created by the COVID-19 and by the other macroeconomic impact, we were able to generate that important growth of 27.7% for the year and of which $17.7 million was exclusively organic. This overall increase in organic revenue comes from synergies generated by the integration of the acquisition made over the last 4 years.  We also invested in growth initiatives in order to achieve the 10% organic growth project growth objective provided in the 3-year strategic plan. To achieve this objective, we hired sales resource and invested in SG&A to generate and support the growth. And this is the main explanation of the SG&A increase compared to last year.  The investment made with the addition of new sales resources and the sales of new products and innovation launched over the last few years and few months are paying off in fiscal year that ended June 30, 2022, all our business pillar generated significant organic growth.  The adjusted EBITDA increased by $3.5 million or 23.6% to reach 18.1% compared to 14.6% last year. The adjusted EBITDA over revenue is lower at 9.8% compared to 10.1% last year, which is mainly explained by the increase of the SG&A ratio and the decrease of the corporation of the company's gross profit margin due to high inflation on project -- on products and pressure on salaries.  These issues are being addressed. And as I said earlier, we have a plan to offset the decrease of profitability. We'll talk about it in each business line. So first, let's go over Operation & Maintenance. The results of the O&M during fiscal year we're also growing like the other businesses, obviously, coming from the acquisition of EC, JCO, the renewal and scope expansion of Gulfport and also the start-up of the 3 addition projects that Fred talked about.  So revenue end up at $87.5 million compared to $70 million last year, representing an increase of 25%. EC, JCO contributed to $9.8 million for the year, so far it's only 6 months of revenues. And there was also organic growth of $8.6 million, partly compensated by an unfavorable U.S. exchange rate that impacted the results of that business pillar for $1 million.  The fact that EBAC is almost flat compared to last year, even though we had 25% increase of our revenue is explained by a decrease in percentage of our gross profit margin. It went from 19.7% last year to 17.2% this year.  So the gross profit margin was impacted negatively by pressure on employee salaries and inflation, employee sick leaves related to COVID, increase of insurance cost, cost increase of gasoline over time also that we have to pay because we had sick leaves so since 70% of our employees are working for this business pillar.  So 70% of the employees of H2O are into the O&M business pillar. The gross profit margin and EBAC was more impacted by these factors related to workforce. Our team is addressing this issue with customers and most of the O&M contracts were entitled to increase the annual fee based on customer price index for CPI adjustment.  Therefore, such annual fee increase will be addressed with our customer in the upcoming months as each contract reaches its annual contractual adjustment date. So every year, we sit down with our customer, we have the chance to address that with our customer and increase the rates as per CPI. It takes time. We have that window once a year.  We'll try to address it in the upcoming months, even though we're not at the window, but generally, it's not how the contracts work. So it may take a year or two or probably two years before we go back to margin we used to see, and we're able to increase. So right now, we're a bit chasing our tail between salary increase and CPI but we have a plan to mitigate that, as I just explained. Growth is still there. At the end of the third quarter. The backlog -- at the end of the fourth quarter, sorry, the backlog was at $126 million compared to $69 million last year.  It's an 81% increase compared to last year due to mostly the big impact is the renewal of Gulfport contract, as Fred talked about. Also important to note that contracts from Texas and New York State are usually evergreen and are not included in the backlog. So evergreen contract last year, represented 43% of the revenue compared to 40% in the fiscal year compared to 40% the previous year.  And I also want to highlight the fact that our renewal rate of contract was at 95% last year. So now let's look at WTS. So Water Technology and Services. So WTS financial performance also improved significantly, highlighted by 40% growth compared to last year driven by organic revenue growth from service activities, but also from capital equipment projects.  The EBAC stood at $3.9 million for the year compared to $3.1 million last year, representing an increase of 26.5%. The increase in dollars was driven by the increase of revenue. In percentage, the EBAC decreased due to the erosion of the gross profit margin and the increase of sales cost.  The gross profit margin was affected by the increase of material costs related to capital equipment. Since most of our contracts or projects were sold to customers or awarded several months and sometimes even years ago. The fact that this year compared to last year, there was a higher proportion of revenue coming from capital equipment versus service also impacted the percentage of gross profits, what we call that the business mix.  Since revenues of capital equipment projects are generally lower than revenues of service activities. So SG&A over selling and general expenses were also higher than last year. It's explained by new hirings of sales resources and higher labor costs and commissions.  The WTS backlog stood at $36.6 million compared to $32.5 million last year, an increase of 12.6% and the backlog is well balanced between industrial and municipal projects. I think Fred touched about it.  We also had a press release last week where we announced more projects, and most of them were industrial, which is generally a good sign for gross profit margin for those -- that business pillar. Now let's look at the Specialty Products, Page 16.  Revenue increase of 24% and EBAC increase of 43%. That's business pillar that's really performed well last year. Revenue stood at $54.4 million compared to $43.9 million last year, so $10 million increase, 24% increase. EBAC stood at $15.2 million compared to $10.6 million last year. These results were driven by higher sales coming from Specialty Products, Piedmont, Maple business lines. So all business performed very well. The gross profit margin was under pressure most of the year, I explained that in previous calls, there was challenges caused by supply chain, logistics, transport, high inflation on raw material.  During the year, and I remember sitting here last year at the same call, I started to address those issues. We have implemented a mitigation plan earlier during the year. An increase price lift with our distributors. And in the fourth quarter, the gross profit margin kind of turned again back to where it was.  So finished the year at 47.1% on the fourth quarter compared to $44.2 million last year. So that mitigation plan is paying off. It takes time a bit by the time we received those price increase and we're able to pass that price increase to our customer. And we saw that happening -- start to happen on Q4.  Obviously, shorter sales cycle for Specialty Products compared to the other 2 business pillars. So that's the first one where we can see those gross profit margin improvement. Also there -- it's explained also by the business mix. Fourth quarter, we have less revenue coming from the Maple business, there was more revenue coming from chemicals and chemicals have higher gross profit margin than maple.  So this, combined with the successful implementation of our mitigation plan explain the increase of the gross profit margin. June 30, we acquired Leader Evaporator. It's a business that will be added to the Specialty Product business pillar. I know since June 30 since we've announced it, I've been asked how much revenue they're making, what's their profit profile. We do not disclose that profit profile, it's similar to Maple. So for the one that knows maple does not make lower gross profit margin compared to chemicals, for example, but we don't disclose the revenues at this point.  You'll see that as we explained. It's part of the transaction that we had with the salary. Let's look at working capital. I know that's been also under the spotlight all year long. We implemented proactive measures to reduce or to be less exposed to price increase by increasing inventory or securing prepaid expense deposit with our suppliers, as you sign the Specialty Products that paid off.  But there's been a lot of movement into the working capital over the last fiscal year. And especially in Q4, it was a bit expected considering that we grew by 48%. So obviously, it has an impact on working capital. Also, we did 4 acquisitions in almost 4 -- 6 quarters, sorry, and strong organic growth and the challenging environment of supply chain, as I just said, those are main explanations.  So let's go quickly over them. So all the working cap items were impacted by the four acquisitions. So except for contract liabilities and contract assets, which were exclusively impacted by the organic growth of WTS. The main impact of the acquisition is the contingent consideration.  The increase is explained by the acquisition of EC and JCO, which both have contingent consideration to be paid in the next 12 months. And also we had to increase the amount of the contingent consideration to be paid to GMP, which was acquired in February 2021 due to their financial performance which was better than what was initially forecasted.  So we had to adjust that provision into our contingent consideration. The acquisition of EC and JCO also impacted receivable and payable and the acquisition of Leader explains 1/3 of the inventory increase. The rest of the increase of inventory is due to organic growth, combined with the challenging supply chain environment.  As explained in previous quarters we took proactive measures to maintain the level of inventory that allows us to respond to higher customer demand, specifically in the Specialty Product business pillar and to mitigate the current supply chain uncertainty.  None of these inventory -- of that inventory is exposed to obsolescent or to sudden depreciation. Increase in working capital and change in working capital also have an impact on the net debt so we look at Page 18 now. The net debt stood at $40 million compared to $0.5 million last year.  The increase is explained by EC and JCO acquisition, the acquisition of Leader, also the investment made into the chemical. The 2 chemical manufacturing facility. Fred talked about it. So the one in California and in the U.K. the purchase of equipment related to important scope expansion for O&M contracts and the investment in working capital item to support organic growth.  So that concludes my remarks on the financial section. And I will now hand over the call back to Fred for conclusion remarks.
Frederic Dugre: Thank you, Marc. Well, among other things, the COVID pandemic highlighted the vital nature of essential services and products. As we can see on Page 19, water is certainly on top of the list with other strong fundamentals.  If anything, the water investment thesis became even more compelling. Demand for water is expected to increase by an additional 20% to 30% by 2050, pushed by fundamental drivers such as population growth, aging infrastructure, increasing regulations, water scarcity and aging workforce to operate the existing infrastructures. Even the bipartisan stimulus infrastructure bill proposed by President Biden won't be enough to do everything that is required to do in the United States. Also, the current stage as such as California as well as Europe now are facing important water scarcity problems.  These water factors or these factors push the construction of new water infrastructures and promote with better social acceptance now, the usage of water reuse. Lately, we also observed a new trend in our industry, the water positive.  Indeed, more companies are taking steps in reducing their water footprint, their consumption and their waste. To achieve their water positive goals, companies will have to invest into water reuse solutions and can even have to finance and fund external water infrastructure to compensate their water positive deficit.  This could even become a new way for public utilities to have access to new source of capital to finance their water or wastewater upgrades or expansions. Looking at these drivers, I'm more confident than ever that we are in the right sector, that our business model is robust, that our expertise and membrane filtration will enable us to deal with growing problematics related to drinking water quality and demand for water reuse and that our synergistic business pillars makes us more unique and financial predictable.  On Slide 20, we can conclude that we are well positioned to achieve our targets set in our 3-year plan 2023 as presented in their Annual Meeting of shareholders back in December 2020. At that time, we presented our ambitious plan to grow the business to $185 million to $250 million in revenues for fiscal year 2023.  That depending on the number of acquisitions we will be able to complete. Well, I can tell you that we're delivering on that. So far, after completing 4 tuck-in acquisitions, going through a pandemic, facing high inflation, posting remarkable organic growth in our fiscal year 2022 and proceeding sustained traction for our eco-friendly water solutions and product and sitting on a backlog of $163 million.  Well, we feel being well positioned to reach our upper part of the bracket between $185 million to $200 million -- $250 million for fiscal year 2023. Such growth will also position us favorably for the following fiscal year in 2024. In general, we aim to deliver every year double-digit growth on revenues while maintaining an adjusted EBITDA superior to 10%.  As a final remark, I want to thank our thousands of employees that we have around the world for their amazing commitment and hard work and loyalty in such a challenging period. You are H2O. I want to also thank our shareholders for their trust and support in a period of extreme economic volatility. The water industry is still at its infancy. Water is vital and complex. Our mission is more relevant than ever. We simplify water by integrating leading technologies and a trusted team of experts into intelligent solutions in order to solve water for good.  There's still a lot to do continue to believe and to invest in water like we do. Thank you. I will now turn it back to the operator for the Q&A session.
Operator: [Operator Instructions]. And your first question will be from Yuri Lynk at Canaccord Genuity.
Yuri Lynk: Good morning, guys. Maybe just get you to clarify. You talked a little bit about the Vision 2023, the $185 million to $250 million. Did you say you thought you'd be at the upper end of that range for next year?
Frederic Dugre: That's what we're aiming at the upper target because already, I mean, we finished the year at $184 million, so the lower bracket of $185 million, I think, obviously, is we're going to hit that. So we're aiming at the upper bracket indeed of that bracket of $185 million to $250 million.
Yuri Lynk: And that's with obviously Leader in there for a full year and...
Marc Blanchet: Let's see in the second half. The upper bracket is ambitious, I would say, the second half.
Yuri Lynk: Yes. That makes sense. And then I guess you also reiterated the margin goal and as good a quarter as it was, I'd say the one kind of weak spot would have been your gross margins kind of going in the wrong direction here, at least sequentially.  So how do we get to 11%? Is it your ability to hold SG&A while you increase your revenue and that can kind of offset the gross margin weakness or our gross margins you expect them to recover next year?
Frederic Dugre: Yes. So first two things. When we announced the strategic plan and reveal the first strategic plan in 2020, December 2020, we're not expecting the impact that we're seeing on the inflation, both in salaries and in material and all that.  So this came new to the equation. And at that time, this is why we were like pushing the 11%. I think to be realistic, the 10%-plus is more within the reach. And Marc could explain further how we're planning to mitigate that. But our strategy really is to further grow the company and maintain it above the 10% kind of level.  And yes, continue to aim over time at the 11%, it's far from not being achievable. But I think in short-term, we're catching up a little bit on improving our margins. The measures we took also on the operation and maintenance had obviously an impact on salary and impact on the gross margin as Marc explained, over time, we're going to catch up on CPI adjustments, which will enable us to catch up a little bit on margin over time. So I think to be fair, short-term is more like 10% up. Long run, over succession of, let's say, the three-year plan still aim above the 11%.
Marc Blanchet: But at the end of the day, I mean, the dollar amount will generate more growth than what was expected. Obviously, our plan was to generate 10% growth by 2024, and we're exceeding that right away this year. And if you look at the drivers, we will be in the double-digit growth next year as well.
Frederic Dugre: And really, Yuri, when I look at the current water space, and as I explained through the water investment thesis and all the driving factors beyond our industry, holding back on adding additional sales resources wouldn't be a smart move right now.  We're seeing so much growth right now in demand for our products. So we want to be opportunistic and add the right people at the right spot, at the right geography to keep pushing our sales. So the growth is there. The demand has been at its best. We have never seen something like that.
Marc Blanchet: And right now, it's the fastest return on investment, a sales resource as a super high return on investment.
Yuri Lynk: Okay. And maybe just a follow-up to the margin question. Can you just -- on O&M, are these renewals -- not renewals, the inflator, is that looked at once a year or multiple times a year? And is there a certain period where you have more of these getting reset?
Frederic Dugre: Usually, it's once a year for the long-term contract we have. And obviously, in our portfolio, we have different time of these contracts. So some may happen early in the year, some will happen later. So - but usually, the CPI adjustment is once a year only.  And for the evergreen, other projects we have, well, we have a little bit more leisure to pass on some price increase to our customers. But again, this happened at different times at different moments. We do meet with the customers on a regular basis for the ones in Houston. So we have some ability to push down some prices in some cases.
Operator: Next question will be from at Frédéric Tremblay at Desjardins. Please go ahead. .
Frédéric Tremblay: I want to ask first on the WTS side from a customer mix perspective, industrial projects were 32% of the backlog at the end of the quarter. Do you have any sort of targets for that mix? Do you want to get to maybe 50-50 between industrial and municipals or maybe another number there? But -- and I guess the point on that is with the infrastructure dollars that we're maybe seeing flowing through the sector in the coming years, is that money going to go more towards municipal projects? Or do you still anticipate a good opportunity for you guys to increase the pipeline in Industrial as well?
Frederic Dugre: So two things. First, personally, I would like to push it to a 50-50 mix and I think it's achievable. If you look at the previous press release last week, the majority of the projects we have announced out of the 12 million were industrial-related.  This is something that we're seeing more and more as we speak. Many of them, many of these industrial companies that I explained are pushing now towards water use, driven by this factor of water positive, driven also by the fact that they want to gain autonomy. They don't want to be relying on an increasing tariffs coming from municipality of the consumer water.  They don't want to be exposed in the case of a drought, let's say, to quota, where they cannot use their water as they want to. And I think in terms of environmental best practices, it's totally logical to reuse their existing waste and they use it back for their cooling towers, their process water and all that.  So it is a big, big trend that we're seeing in the industry. And that will remain, and this is where we are active. This is where we have a lot of references and I just expect this to continue and grow. Now the stimulus money infrastructure bill will go to municipality.  It won't go to industrial sector, it will go mostly to municipality. Now because we're sitting on a large backlog because we have now the leisure to be more involved with industrial, and we have more, I would say, flexibility or opportunity to select the projects, we want to be very selective on the projects we want to pursue for municipal sector in a sense that I mean we have the chance to be sitting on, again, with many opportunities.  Let's pursue the ones that are at the right margins for us, the one that can provide the opportunity for consumables and recurring sales and synergies with other business pillar. So we're not going to go with low-margin projects. It might have been the case several years ago. But now I think we're, H2O is somewhere else now.
Frédéric Tremblay: That's helpful. And maybe just to clarify the last point there in terms of cross-selling opportunities historically have -- the industrial customers, have they been more receptive to your efforts to sell consumables and maybe other services than municipal customers? Or is it pretty much the same there?
Frederic Dugre: Totally, they've been nice. I mean industrial sector, I mean, they almost expect you on day one to come up and provide the service and provide the support and the training and ultimately, the O&M even more.  But for the consumables, absolutely, yes. Shame on us if we can't capture it. But recently, in industrial, our success rate is really, really high on passing on to the service team and capturing these consumable sales moving forward. The municipal, depending on the size of the municipality, we may have to tender. They may have to tender the chemicals, they may have to tender the consumables depending also on the size. But we're positioning ourselves, but I think it's more natural and "easy" to capture the ones for industrial.
Frédéric Tremblay: Perfect. Maybe if I can squeeze in the last question. Definitely appreciate the strong organic growth profile of the company and your willingness and efforts to digest past acquisitions. I was just curious on what the current M&A environment looks like now with the uncertainty in the macroeconomic environment and rising interest rates. Are you seeing any changes in terms of number of targets available or the involvement of private equity in the space as well. Just maybe your general thoughts on the M&A environment would be helpful.
Frederic Dugre: Well, I think that -- we haven't seen it yet, but I think we'll see the relaxation little bit on multiple paid not as drastic maybe as other industries because water is still a long-term industry with high visibility and its present resilient as an industry.  So I would say that the appetite for buyers and the private equity of the world and all the potential investors are definitely going to continue to invest in that space, and this is what we're hearing. So I think that will remain, but we'll see a little bit of reduction in the multiple paid.  The water industry is still very fragmented, and that hasn't changed over the last two years. So yes, we do have a number of opportunities that we're currently looking at and working at. I would say right now, we are taking our time also because we're super, super busy with the current growth we have.  We want to make sure that, again, we pay the right price. And we want to make sure that we convert also the current, Marc's explained the inventory we have, the receivables and all that into cash, into our balance sheet. So at that time, at this point, there's no rush. Again, we're well in line with our three year plan. We have completed also three acquisitions last year. There will be other ones, but we're not in a hurry.
Operator: [Operator Instructions]. And your next question will be from Endri Leno at National Bank.
Endri Leno: Congrats on the quarter guys. I mean, especially the top line growth. And I had a question around -- especially on the organic growth side. Are you able to give us some color on what was the pricing and the volume component of it, right? Like what was the contribution from higher prices and what, from volumes?
Frederic Dugre: Well, it was definitely volume, new sales, new customers, new sales coming from a growing distribution network, price increase may represent on the overall increase, less than, I would say, 5% but the majority is coming from the growth and mostly driven by our specialty products.  As I said, and this is why I put a slide on ESG. It's just crazy to see what's going on right now. So customers are looking for ESG solutions, our green chemistry, our SpectraGuard the super-concentrated solution, the powdered format of chemicals we're selling is now having amazing traction.  Our Piedmont Specialty Products keeps going very strong. And again, I mean, depending on timing and revenue recognition coming from projects, this creates an additional boost on sales. So everything tells us that this will continue as we look at it in the future, the backlog is full. So there was minimal impact coming from price only. So it's true organic growth.
Endri Leno: Okay. Great. And I'm assuming on that, that as you pass on these price increases, especially on the CPI contract in O&M, I mean, we should see more and more of a contribution to the margin going forward sequentially, right?
Frederic Dugre: That's right and also on price increase on their Specialty Products also that we adjust. Now the good news, and this is yet to be confirmed, but the trend we're also observing is that we have adjusted some price on material and retail products.  On the other hand, we're starting to see some reduction into other raw material. If we look at HDPE, for example, a plastic component that is commonly used in the water industry and our industry as well as the rolled steel price it is starting to go down and raw materials is moving in the right direction now.  As much as last year, we were catching up on costs and try to increase prices as what we're seeing raw material increasing as well. Now we have increased the price and now we're starting to see relaxation in a decline into the cost of raw material. So I think now it should be good for us in the coming quarters.
Endri Leno: Okay. That's great to hear. Next question I have and congrats on putting -- establishing the minimum wage of USD 15. I think it's great to see. Can you talk a little bit if you've seen any improvements or any changes to your talent that is coming in through the door or the retention that you are having already there?
Frederic Dugre: Well, I mean, first, thank you for recognizing it because as I said, in H2O, we walked the talk, for us ESG is not only a plan that we put on paper, but it's something that we do and execute and yes, I mean, by the way, we just started to implement that.  So we're starting to see some positive trend into attracting talent. It's easier. It's easier, it's good because we're now starting to attract talent more easily. And again, it touched a minority of employees into the O&M business, mostly in the Southern states. And the reason also is that you need to understand that at $15 an hour or so, you compete suddenly against McDonald's.  You compete against Burger King and all these companies that can offer similar compensation to have employees. So if you want to have the right people, attract the right talent, then improve our profile also, improve our -- I would say, health and safety scoring cards as well.  If we have the better profile of employees, they will be more -- they pay more attention, we'll train them better. They stay with us. There's less sortation of personnel. So all that pays off but it's not going to happen over a month, right? We're going to see this happening over a period of a year and plus more than a year.  But we think that this will play in our favor and we perceive -- as an employer of choice. We perceived also as a partner of choice by the city, I think, is really important and the city do not want to have a cheap service provider operating their water and wastewater infrastructure, I think.  So this is the message also that we're sending to them is that, hey, we're doing the right thing to keep our people, to train them properly, to provide you the best service.
Endri Leno: Two more questions for me. The next one is related to CapEx. It was a bit higher in Q4. I just wanted to ask whether it was all related to Gulfport or whether there were any other contracts you needed to invest on? And what's the outlook for CapEx in '23 for modeling?
Marc Blanchet: We'd say it's to buy equipment for scope expansion, but indeed, Gulfport was like a very big part of it. And so there was a lot of assets that was purchased to -- for that scope expansion and to secure that, almost -- yes, it's going to be probably 12 years of contract.  There was also some other CapEx that was in the tail end of the refurbishment/expansion of the Vista facility and the U.K. facility. So the manufacturing -- both chemical manufacturing facility that we expanded. So that's where most of the CapEx have been invested. There was the second part to your question, Endri, I forgot. Sorry.
Endri Leno: It was an outlook for '23, fiscal '23 for CapEx.
Marc Blanchet: So for CapEx, I've always said we want to maintain a CapEx that's in the area of 2% of our revenues. So last year, there was that exceptional CapEx for Gulfport or sorry, scope expansion. That's our line of communication. But this year, we should stay in line unless there is like those opportunities that -- but right now, the CapEx that we foresee is -- or forecast is 2% of our revenues.
Endri Leno: Great. And one more for Fred, probably, but feel free both of you guys to contribute, but we've seen some reports in the news, especially with the water shortages in California, some of the food producers there, especially on the berry side, they're starting to move some operations to Canada, specifically in Quebec and in Ontario.  So I was wondering if you can talk a little bit about -- and you mentioned, Fred, the agro-food market, but whether you're seeing what kind of opportunities you're seeing in the space with this U.S. companies trying to move here to secure water.
Frederic Dugre: Well, I think you pointed out well, it's a growing concern for U.S. producers. As I said, there's 70% in the world, there are 70% of the water produced that goes to irrigation. And unfortunately, still 40% of the irrigation done in the world is done by flooding, believe it or not.  So this is like the most unefficient way to use water. You use a large an amazing quantity of water just to flood and irrigate in all these fields, but it's done this way. So the importance of having sufficient water means also food security for your population. So this is why this trend on water we use is something that we're seeing more and more.  Not so long ago, in the city of Beaumont in California, we install a water reuse facility and to provide water into the agriculture area. So Beaumont is located in an area that is very agricultural and there was an existing conventional wastewater plant.  On top, at the end of this wastewater plan, we added MBR and reverse osmosis to recycle this water that is now being distributed to the farmers in the area. So this is the kind of measures and things that we're seeing more and more in the agriculture sector to provide more sustainability to the agri business.  Now internally in H2O as part of our trader plan, there was one key strategic objective, which was to start to transform our existing Maple business into an agro-food maple, an agri food business. And this is something that we started in terms of transformation.  So there's more and more opportunities that we're also capturing there. It's something -- it's one of my key objectives that I have also to grow and transform this business. This is why also we pushed for the acquisition of Leader not too long ago. But in a couple of years, you should see this division becoming an agri food division and capturing these kinds of opportunities and helping the farmers to irrigate more efficiently and reuse more of the water.
Endri Leno: That's great color. Thank you good quarter. Thank you.
Operator: Next question will be from Naji Baydoun at IA Capital Markets.
Naji Baydoun: Congrats on a great quarter. Just wanted to pick up some of the comments. You mentioned on organic growth and margins. If we look at this last quarter, value growth has picked up quite a bit even beyond your own targets.  But I think you said only a small piece of that came from price increases. So when you think about next year, what do you think your sort of organic growth is going to be, how much of that could be driven by, let's say, higher price increases relative to more volumes?
Frederic Dugre: It will be definitely more volume. Price increase now, I think is -- the window for price increase has kind of closed more or less because our clients also are observing some decline into pricing. So there will be...
Marc Blanchet: Price increase will still impact our revenues over the next few quarters.
Frederic Dugre: Yes. But it will be mostly organic growth from new additional volume.
Marc Blanchet: 25% of the growth will -- less than 25% will be price increase. The rest will be organic growth, and we're expecting double-digit growth.
Naji Baydoun: Okay. Okay. Got it. That's helpful. And in terms of cross-selling, you mentioned some of the recent wins. I'm just wondering if you had a bit more update on your outlook for the year in terms of JCO and environmental consultants, specifically, where you see those cross-selling opportunities for 2023?
Frederic Dugre: Well, I know there's a lot of small sales and a lot of synergies that we're currently working on, some that we have already captured and delivered. We announced one for aquaculture project that we secured. This is a project of a few million dollars.  But there's other one also in the state of New York that we're currently working on. So I feel really positive about that. It's an area that we're capturing a lot of synergies. There's other projects also in the south that we're working on and synergies with our operational teams as well in Texas and Mississippi. So I feel pretty excited and positive about that.
Marc Blanchet: It's been chemical as well, a lot of ventures in chemicals. So what we've done over the last [indiscernible].
Naji Baydoun: Okay. And I just wanted to maybe finish on M&A. I know you said there's no rush to make more acquisitions and you're just taking the time to integrate the ones that you've already completed. But when the right opportunity comes are you comfortable maybe taking up the leverage profile a bit higher just to execute on that opportunity? Or what are some of the, let's say, the financing options that you're looking at?
Frederic Dugre: Well, right now, I mean, with the interest going up, I mean we want to be prudent in how we want to leverage the company. I think we want to remain definitely under 3x debt to EBITDA, I mean, so right now, in short term, as I said, for us, with the current growth we're having, it's just to harvest, frankly, is to harvest on the growth we have, harvest on converting these inventory into cash.  Converting in just EBITDA and into cash generation to lower our net debt, improve the net debt and then move into the year with some opportunities that we're working on and consider, again, completing other acquisitions.
Operator: Next question will be from Gabriel Leung at Beacon Securities.
Gabriel Leung: I know we talked about this in the past, but with some of the recent swings on the ForEx side, could you remind us again of the -- I guess, the revenue and the EBITDA sensitivity on the -- in terms of the U.S. rate in dollar exchange rate.
Marc Blanchet: Yes. Well, indeed, I mean, we talked about it. It was pretty almost flat at the end of the year, but obviously, Q1, everyone is looking at it. We are looking at it.  Last year, when it was going the other way around, I was explaining that at every point of every sense of between Canada and U.S. has had an impact of $40,000 of EBITDA, $40,000 of EBITDA. So when it goes the other way around, it's positive, obviously. So it's -- so yes, so I'll let you do the math.
Frederic Dugre: And by the way, to our financial report at Page 58, you will see the geographic distribution of our revenues. And as you will see, there's 70% or so of revenues coming from the United States right now, plus other sales internationally also that we're selling abroad but in USD as well.
Marc Blanchet: On the other hand, you have to also factor in, which is much less impact, but euros and pounds that have decreased. So it's less impactful, but still, I mean, compared to last year, the pound and the euro has decreased.
Gabriel Leung: Got you. And then just looking at the cash flow, honestly, I would expect the free cash flow to sort of return by deposits, some of the working capital unwind. But I'm curious on the continued consideration, $10 million that's on the current liabilities. Is that all payable via cash? Or is there an option to -- for the -- and the charge that take stock.
Frederic Dugre: It's all cash.
Gabriel Leung: It's all cash. Okay. Got you. That's it for me.
Operator: [Operator Instructions]. Your next question will be from at Raymond James.
Unidentified Analyst: Just a quick one. So as you think about pushing industrial higher, what is the potential for H2O to own these assets in the future as in the company owns the assets on the customer side and they are effectively leased.
Frederic Dugre: Well, it's a very good question because, indeed, you're right, it's a growing trend that we're starting to see, not only by industrial customers, but by also municipalities to privatize their assets and having a third party to own them.  Right now we want to be prudent how we move forward with that. We're going to do it with the right customers at the right size. Let's say that right now, our balance sheet is not necessarily designed for this. That will call for a different kind of investment profile. But right now, again, we'll be opportunistic on a case-by-case basis. And we have done it in the past and more into a container format, where we're leasing them to customers, notably in the mining sector.  So this is something that we're going to continue doing and maybe grow in the future. But yes, we want to remain prudent in how we deploy the capital right now.
Operator: Thank you. And at this time, we have no further questions. Please proceed.
Frederic Dugre: Good. Well, thank you very much for attending the call. It's already almost the end of September, the end of our first quarter. So we're going to meet you again for the presentation of our first quarter results in mid-November. So thank you. Thank you very much, and look forward to talk to you. Bye, bye.
Marc Blanchet: Bye, bye.
Operator: Thank you. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we ask that you please disconnect your lines.